Executives: Robert Knight - Chief Financial Officer, Executive Vice President of Finance, Chief Financial Officer of Pacific Railroad Company and Executive Vice President of Finance of Pacific Railroad Company James Young - Chairman, Chief Executive Officer, President, Chief Operating Officer, Chairman of Union Pacific Railroad Company, Chief Executive Officer of Union Pacific Railroad Company and President of Union Pacific Railroad Lance Fritz - Executive Vice President of Operations and Executive Vice President of Operations - Union Pacific Railroad Company John Koraleski - Executive Vice President of Marketing and Sales - Union Pacific Railroad
Analysts: Walter Spracklin - RBC Capital Markets, LLC William Greene - Morgan Stanley Justin Yagerman - Deutsche Bank AG Ken Hoexter - BofA Merrill Lynch Garrett Chase - Barclays Capital Thomas Wadewitz - JP Morgan Chase & Co H. Nesvold - Jefferies & Company, Inc. Scott Malat - Goldman Sachs Group Inc. Jon Langenfeld - Robert W. Baird & Co. Incorporated Christopher Ceraso - Crédit Suisse AG Donald Broughton - Avondale Partners, LLC Edward Wolfe - Bear Stearns Chris Wetherbee - Citigroup Inc Scott Flower - Macquarie Research Matthew Troy - Susquehanna Financial Group, LLLP
Operator: Greetings, and welcome to the Union Pacific First Quarter 2011 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, and the slides for today's presentation are available on Union Pacific's website. It is now my pleasure to introduce your host, Mr. Jim Young, Chairman and CEO for Union Pacific. Thank you, Mr. Young, you may begin.
James Young: Good afternoon, everybody. Thanks for joining us on the call. Before we get started, I just wanted to thank you for bearing with us on our change in release schedule this time around as we work through some extra logistics in the holiday week. We'll be back on our regular Thursday morning before market time slots next time around.  With me here today in Omaha are Jack Koraleski, Executive Vice President of Marketing and Sales; Lance Fritz, Executive Vice President of Operations; and Rob Knight, our CFO. As you can see, we started the year off strong, reporting record results for the first quarter. Earnings were a record $1.29 per share, a 28% increase over 2010. Driving this gain was a 15% increase in operating income to a first quarter best of $1.1 billion. This is the first time UP's first quarter operating income has topped the $1 billion mark. Drivers behind the year-over-year improvement include a 5% volume increase and core pricing gain. Jack will provide commentary on our top line growth, but we again achieved volume gains in all six business groups for the fourth consecutive quarter. Intermodal Industrial Products and Chemical shipments drove about 2/3 of the volume growth. We did face some challenges in the quarter, including extreme winter weather across most of the nation and a significant rise in fuel prices. The team will provide more details on both of these areas in a few minutes. Despite these challenges, though, we remain focused improving profitability. We achieved a record first quarter operating ratio of 74.7%, and that includes 2.4 points of negative fuel price impact. The strong performance enabled us to generate record free cash flow after dividends. Throughout the quarter, we remained focused on delivering safe, efficient, high-quality service. As Jack will show you, these efforts were recognized through record customer satisfaction, strong service levels, delivered value for our customers while supporting our price gains and attracting new business to the railroad. So with that, I'll turn it over to Jack.
John Koraleski: Thanks, Jim, and good afternoon. So let's lead off with a look at how customers view the service and the value they're getting from the Union Pacific as measured by our customer satisfaction, and I'm pleased to say that the news is good. For the quarter, customer satisfaction came in at 91, topping the previous quarterly best of 90. And along the way, we hit 92 in February, setting a new best-ever monthly mark. The strength of our value proposition, great service and continued slow improvement in the economy drove our first quarter volume up 5%, with gains in all six of our businesses. First quarter is often marked by challenging weather, and as Jim pointed out, this year was no exception. You can see from the chart on the upper right the impact on our seven-day carloadings resulting from the large storm that swept across the plains in the Midwest in early February, ultimately dumping two feet of snow on Chicago before heading east. The chart also highlights the resiliency of our network, as volume quickly rebounded. Core price improved 4.5%, with each of the groups posting gains, with the pluses and the minuses of mix offsetting in total those price gains combined with increased fuel surcharge revenue to produce an 8% increase in average revenue per car. The stronger volume and improved revenue per car drove freight revenue up 13% to $4.2 billion, a new first quarter best. So now let's take a closer look at each one of our six businesses.  We'll start with Ag products, where volumes grew 4%, which combined with a 6% improvement in average revenue per car to produce revenue growth of 11%. Global demand for whole grains accounted for most of the volume growth, with a 69% increase in export wheat leading the way. Export demand drove a 36% increase in frozen meat and poultry shipment. Now the meat exports were up due to various local issues that reduced supply in Australia, Korea and Brazil, while the poultry gains were a function of a shift to export markets that favored rail. Import beer volumes increased 10%, with a boost from some new business. Ethanol volumes grew 4%, and soybean meal stayed flat as new domestic business offset a decline from last year's strong export demand that resulted from the South American crop failures. Turning to Automotive. Our Automotive revenue grew 12% as contract price increases drove an 8% improvement in average revenue per car and volume grew 4%. Volume growth was hampered by the February storms that restricted shipments and closed auto plants. Although vehicle sales were stronger than expected throughout the remainder of the quarter, equipment shortages were seen across the national rail network as industry car cycles slowed due to the lingering impact of the severe winter weather. To improve fluidity in car supply for our customers, early in February, we started pulling the entire Automotive fleet out of storage, and by March 1, we had that process pretty well complete. In addition, we began a series of special moves to reposition empties for loading, and we also launched a couple of multimodal routes to bypass congestion and help accelerate vehicles to market. Increased vehicle production and anticipation of stronger sales in 2011 is driving the growth in both the vehicle and parts shipments. Our finished vehicle volume grew 5%, with the strongest increases coming from the Detroit Three. Our parts shipments increased 4% with growth in tier suppliers and the Detroit Three offsetting the continued negative impact of the closing of the NUMMI plant in April of last year. Our Chemicals revenue grew 13% as volume climbed 10%, and average revenue per car was up 3%. As I mentioned earlier, mix changes across the group netted out overall, but our Chemical business did see a couple of points of negative mix, driven in part by an early start to the short-haul Foxrock business and growth in movements of plastics to storage and transit yards. Growth in petroleum products, which increased 34%, was largely driven by increased crude oil shipments, with asphalt and refined petroleum products also posting gain. Strong seasonal demand boosted fertilizer volume 16%, with a 29% increase in export potash leading the way. But this quarter, export potash represented less of the overall market than we've seen in previous quarters. Plastic shipments increased 9%, with growth in both domestic and export markets, and improved industrial production drove industrial chemical volume up 6%. In Energy, a volume increase of 4% combined with an 8% improvement in average revenue per car resulting in revenue growth of 13%. Southern Powder River Basin tonnage was up 5%, driven largely by the three new Wisconsin utilities and the carryover impact of the new San Antonio unit that also came online during the second quarter of last year. Colorado, Utah tonnage declined 5% as export demand was more than offset by weakened demand in the Eastern market. Additionally, a longwall move in one of the mines will continue to reduce volumes until the third quarter. Now we don't always highlight our other coal origins, but 4,300 carloads or 65% growth out of Southern Illinois, the river ports utilities and industrial customers was worth highlighting for the quarter. Industrial Products volume grew 9%, which combined with a 6% improvement in average revenue per car to drive a 15% increase in revenue. Nonmetallic mineral shipments increased 36% as strong drilling activity continues to drive demand for frac sand, barite and bentonite. Production of pipe for drilling as well as steel coils and bars for the strengthening auto industry reflected in the 15% increase in steel and scrap. And although the packaging paper market is showing only a slight increase so far this year, our paperboard volume was up 21%, with the growth coming from inventory replenishment and highway conversion.  Our Intermodal revenue grew 15%. That's an 11% improvement in average revenue per unit combined with the volume growth of 4%. International Intermodal volume increased 6%, reflecting improved consumer demand and overcoming the timing impact of the Chinese New Year, which this year fell entirely in the first quarter, while in 2010, the holiday slowdown was spread between the first two quarters. Truck-comp service continues to support highway conversions in our Domestic Intermodal world, which was up 1% compared to a strong 2010. Our Streamline subsidiary's door-to-door product grew 17%, with nearly all of that growth coming off the highway.  So let me wrap up with a look at what's ahead for the rest of 2011. Although Global Insight's forecast has softened a bit, it's still a solid growth outlook and improved projections for industrial production and unemployment are actually encouraging signs for us. This is kind of an overview of what we see happening in each of our six groups.  We'll start with Automotive, which is the only group where we're experiencing significant impact from the recent disaster in Japan. There's still a lot of uncertainty as to the full impact on the auto industry, but our current take is that the second quarter is going to bear the brunt of the disruption, with overall upside potential in the second half as managers work hard to fill the market void. While we anticipate that this will slow growth in our Automotive segment in the second quarter, we still expect strong growth in the second half as the industry recovery continues and sales ramp up.  In Industrial Products, the market have been -- the markets that have been the strongest during the first quarter, especially those that are tied to energy demand and the recovering auto industry, should stay strong as the year progresses. Unfortunately, housing and construction continue to lag, but we're cautiously optimistic given the recent report of stronger-than-expected housing starts in March. While one month doesn't make a trend, we're hoping to see at least the start of the recovery in housing and construction as we move towards the end of the year.  Chemicals is off to a good start for the year, and most of the strength should continue, driven by energy demand and a stronger economy, although we do expect to see fertilizer shipments slow a bit, following kind of a more normal seasonal pattern. Strengthening industrial production, along with growing export demand, should be good news for our coal franchise, especially with the SPRB stockpiles recently estimated to be slightly below normal. We'll also continue to see benefit from those Wisconsin utility. The biggest gains in Ag are expected to be in whole grain exports, as demand for U.S. wheat remains strong, and feed grains have solid potential against a relatively low second quarter comp.  And last but not least, import volumes that drive our International Intermodal business should grow as consumer demand improves as predicted, and our excellent service should continue to support highway conversions and Domestic Intermodal. On balance, with the first quarter behind us, most of the markets are shaping up as we pretty much expected. The diversity of our business mix continues to serve us well. And with our relative fuel efficiency, higher fuel prices should further strengthen our competitive advantage as long as they don't tank the economy. Across all six groups, a strong value proposition remains the foundation of our business development efforts, positioning us to deliver both the economy plus volume gains and improved pricing that we discussed last November to drive overall revenue growth. With that, I'll turn it over to Lance.
Lance Fritz: Thanks, Jack, and good afternoon. Safety is our number one focus. In the first quarter of 2011, we achieved the best ever quarterly performance in employee safety. The continued penetration of the peer-to-peer safety process that we call Total Safety Culture, or TSC, and enhanced training drove the improvement. This had a positive impact on our bottom line, and Rob will touch on it in a few minutes.  In terms of customer safety or derailments, we improved 10% to a record first quarter reportable incident rate. Derailment costs decreased over 20% with the lower incident rate and a decline in the severity of those incidents. Investments in infrastructure, technology and training created a safer operating environment. And despite increases in rail and highway traffic during the quarter, we also achieved a best ever quarterly mark in public safety. Our crossing accident rate declined 13% in the quarter versus 2010. We continue to focus on risk reduction, including closing grade crossings and helping local communities address risky driver behavior. Safety, service and productivity are codependent goals that reinforce one another, which is reflected in our service results. For the first quarter, we handled a nice step-up in volume while maintaining strong service levels. Jack showed you the impact of the February winter storms. We really felt that in the Chicago area, which is our largest gateway and affects about 25% of our rail traffic. Heavy snowfall and high winds impacted our operations and our employees and caused some loss in network velocity. Our team did a tremendous job responding to the challenge. We deployed surge resources and quickly adjusted service plans. By applying the principles of the unified plan and utilizing available resources, we absorbed the 5% volume growth and overcame the weather challenges while maintaining solid customer service. Both volume and service performance quickly rebounded in March to a run rate of 174,000 weekly carloadings and 88 service delivery index. Handling more throughput at a consistent high level of service and efficiency drives productivity and creates capacity. We leveraged the growth in train sizes, as you'll see on the next chart. Looking at our Manifest business, which accounts for over 1/3 of our network capacity, or activity, excuse me, and is predominantly our Industrial Products, Chemical and some of the Ag business, we experienced solid carload growth this quarter. We were able to leverage volume, handling 11% more carloads with just 5% more starts. We achieved similar results in unit grain trains, absorbing 9% more volume with 6% more starts. This is a product of a collaborative effort working with shippers and receivers to develop and fully utilize our grain network. We also drove train length productivity in our coal and Intermodal shipments. We achieved these gains through plan design, equipment management and by working with our customers and interchange partners. Further deployment of distributed power contributed to our success in train size growth, and I expect further upside in the premium bulk and manifest products. As volumes increase, we use the unified planned process to run more trains across our network to destination without an intermediate stop. This is captured in the metric at the bottom right, which shows the number of times each day trains stop to pick up or set out cars. Fewer work events means more throughput at higher levels of service. As volumes grow, we continue to put surplus resources back to work while maintaining our surge capabilities. We recalled around 700 TE&Y employees so far in 2011, which brings furloughs down to around 820. We continue to hire TE&Y employees to offset projected attrition, as well as for volume growth this year. Recall it takes about six months to fully train and deploy a new hire. Despite having several hundred more new hires in the training pipeline and more employees working on capital projects, our workforce productivity improved around 1% from 5.31 million to 5.34 million gross ton-miles per employee. Adjusting for those two factors, our productivity improved about 2.5%. While we have placed around 220 locomotives and thousands of freight cars back into service this quarter, we still have roughly 800 locomotives and 26,000 freight cars available to meet growing demand. My team has also touched or rotated around 200 of the stored locomotives to be available on demand for weather disruption and demand spikes. Even though the equipment we returned to service was older and generally less reliable than the fleet average, productivity is measured by GTMs per horsepower day and freight car utilization matched last year's excellent performance. Another vital part of our improvement plans are the capital investments that we're making to provide great service for our customers while handling more of their business. For 2011, our capital plan totals around $3.2 billion. More than half of that is replacement spending to harden the infrastructure, making the network safe and resilient. Spending for service, growth and productivity will total close to $1.1 billion. Capacity, commercial facilities and equipment are the primary drivers. Major projects include additional double track on the Sunset Corridor, the Blair cutoff project on the east-west main line siding extensions, Intermodal terminal expansion. We're also acquiring 100 new road locomotives, close to 5,000 new containers, some additional covered hoppers and new AutoFlex auto racks, which were designed and are being built by UP car shop. The bulk of these acquisitions are designed to meet expected business growth.  In addition to our investments for growth and efficiency, we plan to spend around $250 million on positive train control this year. All in all, our projected capital spend is up significantly compared to 2010. We're investing for safety, growth, service and productivity gains. The endgame is delivering the full potential of the great UP franchise translated into these deliverables: World-class safety results as we build Total Safety Culture, leveraging growth to the bottom line with network productivity, growing the value proposition for our customers and positioning for growth as we provide excellent service. So going forward, the key for the operating team is agility and delivering on UP's value proposition. We are meeting and will be prepared to continue to meet customer expectations regardless of the economic circumstances. With that, I'll turn it over to Rob to discuss the financials.
Robert Knight: Thanks, Lance, and good afternoon. Before we go through Union Pacific's record first quarter earnings, I'd like to make everyone aware that the 2010 fact book will be available tomorrow morning on the UP website under the Investors tab. So with that, let's move on to our financials.  Slide 21 summarizes our first quarter results. Operating revenue grew 13% to a record first quarter $4.5 billion on the strength of core pricing gains and volume growth. Operating expense totaled $3.4 billion, increasing 13% or $376 million compared to the first quarter of 2010. If you consider that higher diesel fuel prices added $200 million of expense, you can see we demonstrated solid operating leverage. Also, you'll recall that our 2010 operating expenses included a one-time payment of $45 million to CSXI as part of the restructuring transactions. Operating income totaled $1.1 billion, a 15% increase and a first quarter record. Other income totaled $15 million in the first quarter, $14 million higher year-over-year mainly due to early debt redemption costs incurred in 2010. Quarterly interest expense declined 9% versus the first quarter of 2010 to $141 million, driven by lower average debt levels. First quarter income tax expense increased to $372 million. Higher pretax earnings drove the increase, but was somewhat offset by a lower tax rate, which was driven by state income tax rate changes. Net income totaled $639 million, a first quarter best and a 24% increase versus 2010. Earnings per share increased 28% to $1.29 per share as the outstanding share balance declined 3% versus 2010, reflecting our share repurchase activities. Turning to our top line. We achieved 13% freight revenue growth to a first quarter record of $4.2 billion. This slide provides a walk-across of the first quarter growth drivers. First quarter volume was up 5%. Unlike the last few quarters, business mix did not have much of an impact year-over-year. Our solid price improvement of 4.5% was in line with our first quarter expectations. Fuel surcharge revenue added another 3.5%. And as you'll recall, there's a two-month lag in our fuel surcharge recovery mechanism. So although our fuel surcharge revenue increased, we did not recover the full amount of the increased fuel cost due to the continued rise in fuel prices throughout the quarter. We view this as a timing issue, and I'll talk a little bit more about that in a minute.  Core pricing gains in the first quarter of 4.5% were driven by solid demand, our value proposition and RCAF fuel escalators. As we've stated before, we have roughly $750 million worth of business in our legacy portfolio to compete for and reprice this year, but the majority of these contracts don't come up for bid until the fourth quarter. If you look at our incremental margin for the first quarter, after adjusting for higher fuel prices and the 2010 CSXI payments, revenues were up nearly 10%, while costs grew only 7%. That relationship equates to an incremental margin of about 45%. As we noted in the fourth quarter, we continue to take the necessary steps to prepare for the future. We believe that our proactive initiatives implemented today will result in improved margins as we approach peak seasons.  Turning now to the expense side. First quarter compensation and benefits totaled $1.2 billion, up 10% from 2010. Breaking down the year-over-year change, roughly half of the increased expense can be attributed to inflationary pressures that we discussed with you back in January: health and welfare, unemployment taxes, wage increases and pension costs. The other half was driven by volume growth. Our workforce levels increased 5% in the quarter compared to 2010. Half of the increase was driven by more TE&Y employees in the training pipeline and more individuals working on capital projects. The other half was driven by our 5% volume growth partially offset by productivity. We will likely see similar patterns in the next quarter or so, but we are optimistic about the future and plan to stay ahead of the game. As you would expect, training costs were higher in the quarter as new employees were brought on to prepare for the expected 2011 attrition and volume growth. Conductor and engineer training costs increased $16 million year-over-year. First quarter fuel expense totaled $826 million, by far our second largest expense item in the quarter. The average diesel fuel price, which increased 33% year-over-year, was a primary driver of the quarterly change. In fact, the $2.88 per gallon of diesel fuel paid in the first quarter was our third highest quarterly fuel price on record. I'd like to make two key points about the fuel price impact. First, the math alone of higher fuel prices inflates the operating ratio, and secondly, the lag impact of our fuel surcharge mechanism also creates an additional headwind on both our operating ratio and our earnings. When we combine these two factors, the end result was a 2.4 point increase in our operating ratio and an $0.08 reduction in earnings per share compared to the first quarter of 2010. The impact is a bit larger than the $0.05 impact that I talked about in March, as fuel prices continued to climb throughout the month. Fuel expense was also higher as a result of a 5% increase in gross ton-miles. Slide 26 summarizes first quarter expense for two additional categories. Purchased Services & Material expense increased 10% or $43 million to $475 million. Similar to the two previous quarters, the biggest driver of the increase was greater use of contract services associated with our higher volumes. This includes transportation expenses incurred by our subsidiaries. Crew lodging and transportation costs also increased, and locomotive maintenance costs were up year-over-year as we returned stored units to active service. When you add it all up, about 1/3 of the increased spending in this line is associated with expected volumes in the second half of the year, reflecting the amount of time it takes to position our assets for full deployment. Depreciation expense increased 8% or $28 million to $395 million, which is in line with the previous guidance that we gave. Increased capital spending and higher depreciation associated with hauling more gross ton-miles drove the increase.  Looking at the second quarter, we expect depreciation expense to increase around 9% or so compared to 2010.  Slide 27 summarizes first quarter expenses for the remaining two categories. First quarter equipment and other rent expense totaled $302 million, up 4%. The biggest contributor was container lease expense, which was higher in the quarter as we increased our container fleet. Car hire expense also increased, driven by volume growth. Lower freight car lease expense partially offset these increases. Other expense came in at $188 million, down $58 million or 24% from 2010. Cost pressures, including volume-related expenses and increased operating taxes, drove expenses up in the first quarter, but spending was lower than expected across the board, allowing us to beat the $225 million target that we discussed with you in January. One of the bigger drivers of improvement in this cost line was lower personal injury expense, again, reflecting positive experience from our continued safety gains. And we've already talked about the $45 million CSXI payment that was made in the first quarter of 2010. Going forward, we expect continued safety performance. We believe there will be less positive impact from personal injury actuarial studies. All in, we still expect the other expense category to average around $225 million per quarter for the rest of the year, but we remain committed in our efforts to offset cost pressures. As in the past, with so many ins and outs in this line, it's not unusual to see quarterly fluctuations.  Bringing both the revenue and expense sides together, UP's record first quarter 2011 operating ratio illustrates the substantial improvements in profitability that we achieved over the last several years. We improved our operating ratio to 74.7% in 2011. The ongoing efforts of project OR, solid volume growth, continued operating efficiency and core pricing gains all contributed to this record mark. These improvements more than offset the net headwind created by higher fuel prices and the 2010 CSXI payments. Together, those two items negatively impacted our operating ratio by 1.3 points compared to 2010, masking a 1.7 point improvement in our base business.  Union Pacific's record profitability in the first quarter of 2011 also drove record free cash flow after dividends. Growth in cash from operations more than offset increased capital spending and higher dividend payments. In fact, cash dividends paid in the first quarter of 2011 were up 38% from 2010 levels. Bonus depreciation contributed positively to cash flows in both years.  Union Pacific's balance sheet continues to be in good shape, consistent with the goal of maintaining an investment-grade credit rating. At the end of the first quarter, the adjusted debt-to-capital ratio was 41.7%, just slightly down from year-end 2010, as earnings added to our equity balance. We've continued to generate strong cash flow to return to our shareholders in the form of share repurchases. During the first quarter, we bought back 2.6 million shares totaling $248 million. We've recently renewed our share repurchase authority for a new repurchase program of up to 40 million additional shares by March 31, 2014. The new program went into effect April 1. Dividend growth and opportunistic share repurchases continue to be key components of our balanced approach to cash allocation for the long-term benefit of our shareholders.  Looking ahead, we see continued opportunity to grow and improve our profitability. As Jack discussed, we are optimistic about the prospects for solid growth and pricing gains in 2011, particularly in the second half of the year. Of course, this assumes that the economy continues to cooperate. We remain committed to achieving real pricing gains in 2011, driven by the increased value of Union Pacific's service, strong market demand and the added benefit of competing for and repricing our legacy business later in the year.  As we look to the second half of the year, the combination of stronger revenue growth, our ongoing productivity initiatives and current resource investments should produce improved incremental margins and drive higher returns. In January of this year, we targeted a record operating ratio for the full year of 2011. The oil price at that time was around $85 a barrel. At today's price of $110 a barrel, this will be a challenge, but we remain committed to achieving improvement from last year's 70.6% record operating ratio. Even with high fuel prices and the pressure it puts on our margins, we still believe 2011 will be another record-setting year for earnings, allowing us to reward our shareholders with greater returns. With that, let me turn it back to Jim.
James Young: Thanks, Rob. Obviously, there's still some uncertainties for the balance of the year, such as the impact of higher fuel prices and the overall economy. So far, the economy continues to gradually improve, and we expect to see this reflected in stronger business volumes as we move back into peak season later in the year. We feel good about our prospects for strong performance in this environment, and we're taking the necessary steps to ensure that UP will be ready to successfully meet this demand. When you look at it, our plan for 2011 remains very straightforward. We'll continue to deliver on our customer commitments by running a fluid and efficient railroad, focus on safety and high levels of customer service. We'll leverage our volume opportunities to drive productivity in financial results, and we'll continue to make the critical capital investments that support our long-term strategy for profitable growth. Taken together, these efforts will translate into increased value for customers and stronger cash flows and financial returns for our shareholders. With that, let's open it up to your questions.
Operator: [Operator Instructions] Our first question is from Justin Yagerman with Deutsche Bank.
Justin Yagerman - Deutsche Bank AG: I wanted to get a sense -- we've heard from the two West Coast dominant truckload carriers that the western half of the United States was weaker in the first quarter, and we saw that in your Intermodal volumes. And I was wondering if you guys had any real explanation for what was going on, on a relative basis. Is that just seasonal? And I guess when you think about how that's proceeded, are you starting to see increased either flows or expectation that those volumes are going to begin picking up as we move through the second quarter?
John Koraleski: Justin, I think, first of all, you're correct and that there is always a seasonal downturn or falloff after the end of the year and as you get into the first quarter. And we saw that. Volume is picking up. It's getting stronger. I always look at the number of containers we have in storage. And even with some incrementals that we bought last year, we only have about 4,500 left in storage, and that's in April. So we're already starting to ramp up towards what looks like to be, with continued economic growth, a fairly decent peak season for us. So we're very comfortable with our plan. We're seeing that it play itself out, and we're not seeing anything at this point in time that's concerning us.
Justin Yagerman - Deutsche Bank AG: Okay. Rob, you did a good job getting at the incremental margin question, but I guess given the thought is that it'll be difficult to see that OR improvement year-over-year this year because of fuel, obviously, coming in at 0% margin. That's optical, but does it create a difficulty in reaching the longer-term OR goals that you guys have of getting to 65% to 67% by 2015? Or in terms of the underlying momentum of the business, is there anything that changes there if we're in a heightened fuel environment?
James Young: Justin, I'll take that one. No, I don't see that as a challenge on our long-term goal. In fact, if you think about what it does on Highway cost, I think it helps you in terms when you think about your volume story that's out here, and our team is doing a good job in terms of fuel recovery. But I don't see it as -- sure, I'd like to have $85 barrel of fuel. My concern is not so much in the ratio, but what it may do to consumer demand long term, but we're not backing off our commitment.
Justin Yagerman - Deutsche Bank AG: All right, great. And I guess last one and I'll turn it over to someone else. Just curious on the capital spend, decent size program this year. How much of that is eligible for bonus depreciation, and how much was potentially pulled forward because of that 100% depreciation?
James Young: Rob?
Robert Knight: Justin, I mean, we will benefit from the continuation of the bonus depreciation, but we really didn't change our capital planning so much around the result of that bonus depreciation. So we will benefit from it, but it didn't cause us to pull ahead. And just a reminder, remember, the guidance that we've previously given going forward is that our capital spending should be -- we expect in the 17% to 18% of revenue as we move forward over the next couple of years.
James Young: But Justin, keep in mind that is only if we see our returns continuing to improve. We're making a bet here long term, and when you look at some of our investments here -- I feel good about what's happening with our profitability, our return on invested capital. But I'll tell you, if we start to see that move the other way, you're going to see capital go back the other way. I mean, the math is pretty straightforward.
Justin Yagerman - Deutsche Bank AG: Appreciate the time. Thanks.
Operator: Our next question is from Tom Wadewitz with JPMorgan.
Thomas Wadewitz - JP Morgan Chase & Co: I wanted to see if we could start off with one on the core price. The 4.5% is really a good number. It is a little bit lower than what you saw from most of the last year. I wonder if you can give a sense, is that kind of the run rate that we should assume until you get into fourth quarter, when you get a bigger legacy impact?
James Young: Jack, do you want to take that one?
John Koraleski: Yes, Tom, it really kind of depends on the marketplace. It's certainly not going to get any worse than that. And if the market continues to improve and we start to see an even faster ramp-up in things like peak season, we could do a little better than that. You understand clearly that our big legacy push isn't really going to impact us much this year. It'll do more to support 2012 than it does 2011. But we feel very good about our pricing plan.
Thomas Wadewitz - JP Morgan Chase & Co: And if you look at the legacy impact at the end of this year -- I think, Rob, you gave us a number about the kind of the total revenue that you're repricing and then what happens in 2012. Is it a similar amount in 2012? And I guess I think the timing in 2012 is relatively early in the year, so maybe just some comments on that as well.
Robert Knight: No, you're going to see the benefit of the $750 million reflect itself in 2012, and then we have a number of year-end 12/31 contracts that will impact 2012, providing we're successful in renegotiating in keeping that business on our railroad. And the 2012 number is not as big -- the 2012 actual in the year legacy contract is not as big as what we have with the combination of the year-end here and then the 2012 itself. I don't have the specific number here with me right at the moment.
John Koraleski: Tom, keep in mind that legacy isn't the only place that we are able to get price. It's really across the board with all six of our business groups. A big part of that's the value proposition. I would tell you right now and again, let's assume the economy continues on kind of slow growth, as we've said. You think about what's happening maybe on the trucking side, I think the pricing opportunities are pretty darn good for the rest of the year.
Thomas Wadewitz - JP Morgan Chase & Co: Do you have a sense, Jack, of how much smaller it is in the $750 million? Is it like $500 million or $300 million, or you just don't have the numbers in front?
John Koraleski: Yes, I don't have the numbers in front of me.
Robert Knight: We'll get back to you as we're talking.
Thomas Wadewitz - JP Morgan Chase & Co: Okay. Thanks. That's good. I appreciate it. Thanks for the time.
Operator: Our next question is from Chris Ceraso with Credit Suisse.
Christopher Ceraso - Crédit Suisse AG: Thank you. This may be kind of a simple question, but it did seem that several of your expense categories grew at a faster rate than your carload growth. Is this something that you expect to persist throughout the year?
James Young: Rob?
Robert Knight: As I pointed out, there's some inflationary pressures, like, for example, on the comp line, and half of that 10% growth in the quarter was what I would call and did call inflationary pressures. T the other half was related to volume. Similar on the Purchased Services, where we experienced bringing out locomotives from storage, bringing out other equipment, et cetera, so those were unusual pressures in that sense. And I would expect that some of those pressures, particularly in the comp line, will continue throughout the year. The component that's related to volume, as we've always said, headcount, as it relates to volume, will grow with volume, so we'd like to see volume continue to grow. We expect headcount then to continue to grow as a result, but not at a one-for-one basis because it's offset by productivity. But the other half, the inflationary pressures, are likely to stick with us throughout the balance of the year.
John Koraleski: Chris, but you had a pretty big jump in, I would call nonproductive costs that we've got in our first quarter, getting ready for the volume in the third and fourth quarter. In fact, I think Rob in his numbers said about $35 million or so, plus or minus, is associated with training and pulling some locomotives out. So as you think about that, we're going to lever that very, very nicely in the second half of the year, as, those people come out of training, get the locomotives ready to go, you start to see that business, Rob. There'll be very nice leverage second half.
Robert Knight: Just one more point on another category. Purchased Services and others, which was up 10%, I would expect as we get into the second quarter that the run rate year-over-year would look more like a 5% than a 10%. That 10% this year was as much a result of a more difficult comp from last year in the first quarter. And I wouldn't expect that that would continue in the second quarter and beyond.
Christopher Ceraso - Crédit Suisse AG: Okay. So just to follow up, just to clarify, the compensation inflation for the full year, are you saying that it'll be five points above and beyond volume growth?
Robert Knight: Roughly around 5%.
Christopher Ceraso - Crédit Suisse AG: 5% all in?
Robert Knight: Of the inflationary part.
Christopher Ceraso - Crédit Suisse AG: Okay. And then some additionally on top of that for volume.
Robert Knight: Correct.
John Koraleski: But you should have some productivity on the volume side. You're not going to see one for one with volume and wage increases.
Christopher Ceraso - Crédit Suisse AG: Okay. Thank you very much.
Operator: Our next question comes from Matt Troy with Susquehanna Financial.
Matthew Troy - Susquehanna Financial Group, LLLP: Thanks. I wanted to ask about coal, specifically given the strong pull of export coal off the East Coast. I was wondering if you're seeing any inquiry from East Coast consumers as to an increased desire to import PRB coal further in our direction. Secondarily, I wanted to get a sense of what stockpiles look like in your area.
James Young: Jack?
John Koraleski: Well, now the phone is kind of ringing off the wall, actually, in terms of inquiries both on Eastern coal, and actually, we're getting some fairly decent calls on export, which is not our strong suit, but we do have access to Missouri River -- or the Mississippi River terminals and some West Coast. So we're actually seeing some interest there. Both of those are good for us. We don't really have any confirmed deals, but we're certainly talking to a lot of different customers who are interested. And hopefully, as time plays out and if the export markets stay strong, we'll see more of that draw into the East.
Matthew Troy - Susquehanna Financial Group, LLLP: And the stockpile question?
John Koraleski: The stockpiles right now, the last recorded information we had said that SPRB stockpiles are around 55.6 days. Normal would be around 56.4. So just slightly below what would be normal would set us up quite nicely here for the summer burn season that should be coming up.
Matthew Troy - Susquehanna Financial Group, LLLP: Excellent. My second question would be just related to export coal more directly. We've seen the announcement now for facilities potentially looking to get permitted or expanded in the Pacific Northwest and Canada. Is your sense that that's what we're going to see? Is there more to come? And what's your sense on timing? It seems as if, if all goes well, it's about a two-year, three-year thing, but you also have the EPA pushback and the environmental pushback. I'm just wondering, is more to come? And what's your sense on timing? Thank you.
John Koraleski: There's a lot of places that are looking for an opportunity. So I'm not sure it's completely done yet in terms of what the potential site locations are. Some of them to us seem a little bit more extreme than others, but there is certainly a lot of interest in developing new port facilities and the capability to handle some coal exports at existing ports, including not only West Coast and Canada, but also down in Mexico as well. So that's the first issue. The second issue, in terms of timing, we were actually hopeful to see some activity towards the end of this year and the beginning of 2012. The one that we're probably most interested in is the one up in Longview, Washington with the Australian mining firm. I think it's called Amber or Ambre. And they sounded good to go, except for the EPA issues, and that has posed a delay. But we're hopeful that we can still see some activity there by early 2012. Really depends on what happens with the government and the EPA.
Matthew Troy - Susquehanna Financial Group, LLLP: Thanks. And just as a quick reminder, you're not outlaying any capital for these projects, materially, so to speak? This is all paid for by the mines and the importers themselves, correct?
John Koraleski: Yes. The only expenditure we would consider is the rail infrastructure to ensure that we could get the product there.
Matthew Troy - Susquehanna Financial Group, LLLP: Okay. Thank you.
Robert Knight: Let me go back to Tom Wadewitz's earlier question where he asked about what the book of business or book of revenue is in our legacy for 2012. It's $300 million. So again, we haven't given precise timing of when that is. I think it's pretty much throughout the year, but $300 million is the answer to Tom's earlier question.
Operator: Our next question is from Bill Greene with Morgan Stanley.
William Greene - Morgan Stanley: I'm curious just on your fuel surcharge coverage. We used to talk about this being around, I think, 85%. Is that still where it is? And if you had repriced this legacy, how much would that change it? I think it would've materially affected how these results would've looked in today, but maybe you could just sort of weigh in a little bit on that.
James Young: Rob?
Robert Knight: Yes. The amount of revenue that we have covered with some sort of fuel mechanism, and remember, we have like 75 different fuel mechanisms out there, is in the low 90s. It's not a precise number that we track as readily as you're asking, but it's in that low 90s. So we've moved it up from that 85 mark.
William Greene - Morgan Stanley: And how much of the negative impact in fuel this quarter was because you didn't have a fuel surcharge on the rest of that 10%?
Robert Knight: I don't have that number, but it'd be a little bit.
James Young: Bill, the biggest -- the prime driver is the timing. It is about that two-month timing. It's at $0.08 per share.
William Greene - Morgan Stanley: Okay, fine. And then, Jim, can I just ask you about your thoughts on being more aggressive with buybacks? You have, what I think is fair to say, in at least in near history with UP a relatively under-levered balance sheet now? How do you think about becoming more aggressive in that regard?
James Young: Well, I think our first job here is generate the cash that puts a position in the company in terms of growth. So again, we'll look at long-term capital growth. We'll look at our dividend policy in terms of where we're going and return cash to shareholders. I don't see us levering up significantly in terms of borrowing to buy back stock. But you see from our first quarter cash flow, we had a very good quarter, in fact, a record quarter, and that really puts us in a very good position to continue to reward our shareholders.
William Greene - Morgan Stanley: Okay. Thanks for the time.
Operator: Our next question is from Scott Flower with Macquarie.
Scott Flower - Macquarie Research: Just curious, given some of the shifts over the last several years in natural gas pricing versus oil pricing, I'm wondering if that changes your intermediate-term perspective on the growth rates in your Chemical franchise and how you may think about that longer term.
James Young: Jack?
John Koraleski: As we looked at it, Scott, certainly, having the lower natural gas prices is a benefit to U.S. producers, North American producers, so that's a real plus for us. I think one of the key criteria here that you have to look at is, though, the available capacity. Our Chemical customers are doing quite well right now in terms of overall production. And to significantly improve on the long term means additional facilities will have to be built, which will take some time.
Scott Flower - Macquarie Research: Okay. But I mean, net-net, I mean, I remember you used to think that was sort of almost a very low growth, no-growth business. You perceive probably better growth in that now?
John Koraleski: I don't know if we ever believed it was no-growth, Scott, but it was good growth.
Scott Flower - Macquarie Research: Okay. And then two other just maybe administrative questions, sort of wrapping up. What was the total amount of the fuel surcharge in the quarter? And is the tax rate that you booked in first quarter more or less what you think the run rate will be for this year? Or what would be the right run rate on the tax rate?
Robert Knight: This is Rob. On the tax rate run rate right around 38%.
Scott Flower - Macquarie Research: Okay. And what was the total amount of fuel surcharge booked in the quarter?
Robert Knight: Around 150, about 155, I believe, Scott.
Scott Flower - Macquarie Research: Okay. Thank you all.
Operator: Our next question is from Jon Langenfeld with Robert W. Baird.
Jon Langenfeld - Robert W. Baird & Co. Incorporated: On the Intermodal side, how should we think about your volume growth there relative to the market, which was a bit stronger? Are there contracts shifting around, or is this a function of some of the changes with the underlying Intermodal marketing company partners?
James Young: Jack?
John Koraleski: Jon, that's a good question. As we looked at the Intermodal marketplace today and we look at some of where we stand, we're being very disciplined in our approach to going after business, and looking at the market we're staying very focused on our reinvestability threshold and looking to be opportunistic. We're working with our IMC partners in terms of business availability. And right now, they're kind of going through bid season, so there's a lot of business up for grabs that everybody is vying for. So until we get through May and into June, it's still somewhat of a moving target for us.
James Young: And I'll tell you, I think you have to be careful about looking at first quarter and extrapolating that out the rest of the year, particularly on the Domestic Intermodal side. We are seeing it start to pick up, but we're going to be very focused on the financial returns in that business.
Jon Langenfeld - Robert W. Baird & Co. Incorporated: But no big contract shifts one way or another that you've seen?
James Young: No.
Jon Langenfeld - Robert W. Baird & Co. Incorporated: Okay. And then on the coal side, absent two or three wins here in Wisconsin, should we see the rest of that book of business grow with the existing customers as we move through the year here? It sounds like with stockpile being a bit lower, we may actually see that growth in the existing customer base.
James Young: Jack?
John Koraleski: If you look at the existing customer base, if you assume that we have a normal summer burn and things like that, we should see a nice ramp-up as we move into the summer season and see that business grow. I mean, a lot of it still depends on economic recovery, though, too. When you look at it, Jon, there still is some discount or some reduction that's taking place because of industrial production and some of those things, but we have not yet completely recovered to where we were before the economic downturn.
Jon Langenfeld - Robert W. Baird & Co. Incorporated: Sure, okay. Thanks for the color.
Operator: Our next question is from Gary Chase with Barclays Capital.
Garrett Chase - Barclays Capital: I wanted to see if I could get you to put a little more color around some of the commentary we're getting on headcount growth. Was there a weather component here? Did you decide to pull some hiring forward as a function of some of the weather disruptions? And then, secondarily, should we be thinking -- because a lot of the commentary seems to suggest that you're doing this in anticipation of volume growth. Should we be thinking that there's some risk here if that growth doesn't materialize in the second half?
James Young: Well, here's the math. We're going to lose 4,000-plus employees this year through attrition. We're going to -- right now, our current hiring numbers are around that 4,500 plus or minus range. As Lance said, you need about -- when you look at TE&Y and our conductors and engineers you need I think minimum six months to get them hired and trained and on the ground. So we, clearly, are making a bet on the second half of the year with peak season. Now if we move through the second quarter here and we see the economy start to falter, we will pull that back. One of the things we do, we've been able to show, we've been able to take advantage of is the attrition. Attrition in the company actually peaks about May or June because the way our agreements work is you need to work x summer days to qualify for your full vacation. So we're a little bit ahead of that right now, but I think it's something that we -- you also have some higher capital spending that's out here, but I don't necessarily see it as a risk. The risk to me is not being prepared to handle the growth and provide the service and provide that value. I think that's the real risk, because we can cut back costs pretty quickly that's out here. But I'll tell you, we've got a great service proposition, and we're getting great value out of it.
Garrett Chase - Barclays Capital: So you are confident you can dial back the costs and just let -- add the trade out pretty quickly?
James Young: No question about it, Gary.
Garrett Chase - Barclays Capital: What's the driver of the second half confidence, that's just customer feedback?
James Young: Well, again, I believe we're getting some feedback from customers in terms that you would expect, kind of the normal peak. You have your international -- I mean, if you look at trends and you assume somewhat of a normal economy, historically, you should see peak start maybe July or so, early August. You're going to build. You've got the fall harvest that comes into play. You have new auto production that comes into play. All of those things happen in the second half of the year, and that's where you get your traditional peak moving up.
Garrett Chase - Barclays Capital: Okay. Thanks, guys.
Operator: Our next question comes from Christian Wetherbee with Citigroup.
Chris Wetherbee - Citigroup Inc: Maybe just staying on the headcount side for a minute, I guess based on kind of the comments you made, I just want to make sure I understand that you see this progression going forward. I guess it seems a little bit front-half weighted, so maybe the year-over-year or sequential increases in headcount probably smoothed out a little bit as you progress through the rest of the year. Is that correct way of thinking about it?
James Young: Well, depends on volume in terms of what happens here. Right now, my view of the rest of the year is you're going to see higher volumes in third quarter than we did the prior year. That's not here. And we are front-end loaded when you look at some of these costs. The question is -- we have a lot of people in training today. We're spending a lot of money that's not generating a dollar of revenue. So you have to almost think of leverage in terms of the third quarter as it moves up. But it is, to some extent, front-end loaded.
Chris Wetherbee - Citigroup Inc: Okay. And to that point, particularly as it regards to training expenses, so should we be thinking about when you look at the average cost per employee, maybe smoothes out or comes down a little bit as you go forward as you start to get some of the leverage of these upfront training costs through the rest of the year?
James Young: Yes, the big jump in cost has happened. I mean, you're not going to see another spike-up in cost because we built -- we've got the plan in terms of the hiring program. It's pretty well staffed right now. So you're not going to see a huge jump in cost going forward.
Chris Wetherbee - Citigroup Inc: Okay. And then, Rob, just so I'm clear, I know you mentioned other expenses coming in below kind of target. Did you get a sense of what that run rate might look like for the rest of the year now as we're past the 188 you did this quarter?
Robert Knight: Yes, the net is at $225 million per quarter. That's still a number that I think is the right one to think through.
Chris Wetherbee - Citigroup Inc: Okay. So still stick with that number.
Robert Knight: Yes.
Chris Wetherbee - Citigroup Inc: Okay. And then just finally, I guess, to follow up on the export coal side, Jack, you mentioned some opportunity maybe as early as next year for some export. Can you give us a sense just as far as total volumes what you think you may be able to see next year if you do get the demand there?
John Koraleski: You know what, overall, Christian, typically, when you think about UP, our run rate for export coal has been somewhere in the neighborhood of 1 million to 2 million tons. I think this year, we're probably going to be in the 4 million to 5 million ton range, and I think that the potential is there if all these environmental -- there's a lot of what ifs with the environmental stuff, but we could pick up another 2 million, 3 million tons, something like that, for next year.
Chris Wetherbee - Citigroup Inc: Okay, great. That's very helpful. Thanks for your time, guys.
Operator: Our next question comes from Ed Wolfe with Wolfe Trahan.
Edward Wolfe - Bear Stearns: Jim, I'm sorry to drive this headcount thing in, I'm just a little confused. I thought you had said attrition is 4,000. You're hiring 4,500. So kind of by the end of the year, it's a net 500. Did I hear that right?
James Young: That's the way the math would work. But you have to keep thinking about how the volume numbers and the timing of when the attrition hits us out here. So I don't think you're going to see -- we're ahead of the game right now, again, in terms of when you look at the full complement of hiring. So I do think you've got your biggest spread right now, but it's, again, a function of volume going forward here. So to me, though, again, Ed, the key is handling that volume that comes at us. And I'm pretty confident right now we're going to see a peak through this year.
Edward Wolfe - Bear Stearns: Okay, fair enough, Jim. On the Intermodal side, it feels like you've now taken a couple price increases in the last six or seven months and Burlington hasn't. And I guess my question to you is do you sense that, that is changing the balance of market share, or do you get a sense that pricing -- that everybody's going to start taking up pricing soon?
James Young: Ed, we compete every day. We win some and we lose some. We pay attention to our strengths in our markets that are there. When you look at -- you guys understand the truck industry as well as anybody. And if you assume the economy's going to start picking up and you think about the cost on energy in the highway and some of the challenges they have, I think the market, the pricing opportunity is pretty good for us. But we're going to make our decisions based on what's best for the UP railroad here in our corridors and that gives us the greatest value.
Edward Wolfe - Bear Stearns: I mean, if we see this strategy and it feels like truck pricing should continue to tighten throughout the year, certainly, if it's tight now seasonally, the expectation would be there's more to go on Domestic Intermodal in peak?
James Young: It could be. You look for -- our first quarter pricing, Intermodal is pretty strong.
Edward Wolfe - Bear Stearns: Okay. Then last topic on the grain side. Jack, what tariffs have you put in place earlier in the year, and what's the opportunity for further tariffs? Can you talk about grain pricing and if there's some mix that's impacting the way the reported yields look?
John Koraleski: Yes, we're hitting some pricing for fourth quarter and April, and we'll kind of sit tight and watch what happens as the markets evolve. As with the tariff, we can increase price on a 20-day notice. So we're just kind of watching to see what the market dynamics look like at this point in time.
Edward Wolfe - Bear Stearns: What were the increases at the end of fourth quarter and April?
John Koraleski: You know what, I don't have the specific numbers that we have, but they apply to different commodity groups.
Edward Wolfe - Bear Stearns: Okay. Thank you. Appreciate the time.
Operator: Our next question comes from Scott Malat with Goldman Sachs.
Scott Malat - Goldman Sachs Group Inc.: Just one on Mexico cross-border. Can you just talk about recent trends, any expectations there, and maybe the potential benefits, the new terminal you'd announced for New Mexico? Thanks.
James Young: Jack?
John Koraleski: We had a solid quarter for Mexico. I think our growth was up about 15% in the first quarter, which is good. Business trends, as we look across the scope of the business in Mexico, the only one of our six businesses that's not really showing much action right at the moment is coal, and that's because it's a very small portion of the business, and there's a bid in place as it goes right now. So as we look across all of the rest of the businesses, whether it be Ag, Autos, Industrial Products, the Chemical business and all that, we see great potential. The Mexico economy is tending to be a little more robust than we are in the U.S. And we continue to see near-terming or bringing business back from Asian rim into the Mexico business environment, which is very supportive of our franchise then. And we have a great working relationship with both of the Mexico railroads, so we see a lot of potential there.
James Young: And Scott, regarding the announcement of Strauss, in fact, I'll have Lance give you the operational perspective, but we see that as a very, very good opportunity to grow business and improve our efficiency. Lance, why don't you talk about the operational side?
Lance Fritz: Yes, Strauss is going to do three things for us, Scott. It's going to be an Intermodal yard that'll serve El Paso and also south-of-the-border business. It's going to be a run-through facility that'll take some of the pressure off El Paso on our critical premium Sunset route, and it's going to be an Intermodal block swapping facility that will allow us to grow outside of the LA basin both on Intermodal and premium Intermodal products.
Scott Malat - Goldman Sachs Group Inc.: And on the Intermodal business, can you talk about partnership opportunities and how you look at working with drayage companies? Are they willing to -- it seems like a lot of them aren't willing to pick up the business because they can only get one-way routes and they can't make money on the way back. That's what we had been hearing. So I just wanted to understand, do you have the partners in place? Is that somewhat of a hurdle to growing the Intermodal cross-border traffic?
James Young: Scott, I'll tag you with the perspective. When we are down there, talking to folks in New Mexico, the interest is huge, including the dray carriers. So this is going to be a very nice facility that, I think, is very much needed at that location, and I just don't see that. I mean, Jack, you guys...
John Koraleski: When we look at, Scott -- and we have been spending a lot of time in Mexico on our business development focus, and we see a lot of enthusiasm. We see a lot of partners willing to work with us there as we think about it. Of course, we always -- we're a wholesaler in the Intermodal world, so if some of our IMC partners that are arranging for drayage and those kinds of things for the most part, but we see a lot of cooperation and potential.
Scott Malat - Goldman Sachs Group Inc.: All right. Thanks.
Operator: Our next question comes from Ken Hoexter with Merrill Lynch.
Ken Hoexter - BofA Merrill Lynch: If I could just follow up with Lance on the -- you've used up a lot of useful locomotives and available furloughs. Velocity has kind of held in here, but terminal dwell looks like it's starting to creep up. How much more room, capacity-wise, do you think is on the network? And then as that starts running up, are you looking at costs on the equipment side as well to help out with that congestion aside from the employees we've already talked about?
Lance Fritz: Sure, Ken. In terms of how much capacity is remaining on the network, we've talked about historically being able to run fluidly. That is with high service levels, 190,000, 195,000 seven-day carloads. We've managed to muscle through 205,000 seven-day carloads historically, just not at the current service levels. We remain confident of that, and we have a capacity program this year that'll continue to put us ahead of that growth curve. In terms of network terminal dwell and other resources that are required to kind of manage the volume growth and keep dwell down, we've got a hiring plan that's going to help us clearly in the first quarter. In the south, we might have had a few areas where we're a little tighter on crews than we'd like to be. We've got graduations of our trainmen coming out in those areas as we speak. That would show up in a little bit of dwell. Likewise, our capital investments in equipment and locomotives, while locomotives aren't required because we've got plenty in storage, they will help us as we're able to DPU more of our traffic. Every single one of the locomotives we're purchasing is going to be DPU capable. That will help us with productivity as well.
James Young: Ken, keep in mind you're seeing a lot of those costs in place right now, the hiring, the training, the pulling of locomotives out of storage, getting them prepped. I mean, that was what we're talking about earlier that you're incurring these costs now that aren't generating a dollar of revenue. That should really leverage here in the second half.
Ken Hoexter - BofA Merrill Lynch: Understood. And Jim, you were talking -- or I guess maybe Rob was talking about the rates being up 4.5%, but that's down sequentially from about 5.5%. I just want to understand what you were answering before. Is that something you anticipate will kind of decelerate until those legacy contracts come up for renewal toward the end of the year?
James Young: No, it's not going to decelerate. What I was talking about, you had 4.5% first quarter this year. If you look a year ago, first quarter, we had 3.5%. Now it's down from what we had shown in third and fourth quarter. But be careful about assuming that's the trend. I think it will not decelerate. And depending how the demand plays out, we're going to take advantage of the opportunities going forward.
Ken Hoexter - BofA Merrill Lynch: Okay. And you mentioned the $0.08 on fuel. Did you mention any impact on weather-specific costs?
James Young: No, we didn't. I mean, we spent -- go ahead, Rob.
Robert Knight: Ken, just remember, I did previously say, not on this call but in previous, and it's still an accurate number, that was more of an item on our revenue, and it probably cost us about a point on volume in the quarter, the weather did.
Ken Hoexter - BofA Merrill Lynch: Great. Appreciate the time. Thank you.
Operator: Our next question comes from Walter Spracklin with RBC Capital Markets.
Walter Spracklin - RBC Capital Markets, LLC: Thanks very much. Just on, and Lance, if you could come back to your distributor power, can you give us a sense of how much of your fleet is currently equipped with DP and how much you want to go to essentially -- and as quality there, [ph] like, how much longer can we see those train lengths go? Do you see them peaking at what kind of level?
Lance Fritz: Okay, Walter, let's start with the DPU question. We've got a fair portion, a large portion of our road fleet DPU-ed. If you look at it from the percentage of gross ton-miles that we run that are DPU-ed, it's north of 60%. We anticipate being able to grow that. Every time we purchase a locomotive, we're going to be able to grow that. In terms of train sizes, we've talked about historically, that depends on the corridor. Having said that, we've got opportunity to grow train sizes in each one of the networks: premium, manifest and bulk. So it just depends on the corridor. And we're making investments right now in our capital plan to be able to increase train sizes through this year and then through the future years.
James Young: Yes, Walter, I'd just tell you, we still have a lot of single-track railroad out there, and deciding can be what you're passing tracks can be a limiting factor on train size. And that's what Lance is referring to. When we look at this capital investment piece in there, there's a productivity train size-wise as we get that capability in.
Walter Spracklin - RBC Capital Markets, LLC: How long, and that was my next question actually on that, is how long do you think out to -- what kind of time frame when your entire network would be able to be optimally set up to handle these longer trains? Are we talking one, two, three years?
James Young: I wish. No, but go ahead, Lance.
Lance Fritz: We're constantly looking for opportunities using Unified Plan and investment to improve productivity. One of those ways is through train size. Continuous improvement into that area is the realistic goal and what we're achieving. I don't think we look at that and think of one perfect balance at a moment in time.
James Young: We still have a lot of opportunity, long term, though, on this network. I mean, we put a lot of money and capital and capacity efficiency. But to me, there are opportunities at least for the foreseeable future.
Walter Spracklin - RBC Capital Markets, LLC: Okay. So nothing's [ph] for sure. I appreciate that. And just one last quick question for Rob here. The $15 million in other income, you mentioned that there was a debt redemption cost in 2010 that didn't recur. Is $15 million a good number then for us to use on a sort of go-forward basis?
Robert Knight: Yes, the way we look at it, the guidance that I would give on that is about $75 million to $100 million for the full year. And it could be lumpy from quarter to quarter, so I'd look at it that way.
Walter Spracklin - RBC Capital Markets, LLC: Got it, okay. Thank you very much.
Operator: Our next question is from Donald Broughton with Avondale Partners.
Donald Broughton - Avondale Partners, LLC: Help me understand how you think about this. With highway diesel now at $4.10 a gallon, how are you thinking about well cars or articulated wells versus last? Does the higher price of diesel, the average we're to haul at which Intermodal is becoming cheaper than over the road? And the large potential incremental volume ever gets to the level that you either change your view or dramatically expand your investment in flats and TOFC?
James Young: I'm trying to think here on -- your question is on increasing the dwell cars, the flat cars?
Donald Broughton - Avondale Partners, LLC: Yes. Because, I mean, as we -- we're getting to a point at which there's just a bigger and bigger marketplace that's available to you. Do you ever -- help me understand how you think about what you would do in changing your outlook on flats versus wells?
James Young: Okay, you're talking about trailers, trailers versus containers.
Donald Broughton - Avondale Partners, LLC: Right. All the really good questions have already been taken.
James Young: That's okay. That's a pretty strategic question in terms of what you look at. We have not had a real strong program on trailers over the years. In fact, we've really pushed a lot into the double-stack containers. But where the economics are playing right now with fuel, you're going to see us start to move in that world in terms of putting products in place that are pure trailer products.
Donald Broughton - Avondale Partners, LLC: When I look at the marketplace, there's what, there's as many truckload movements in the 500- to 600-mile length to haul as there are in the 1,000- to 1,500-mile length to haul. It's just an ever-larger bite of the apple that you guys can make. The question is does the price of diesel ever get to the point where you go, look, in order to take advantage of that opportunity, we're going to make much larger investments in TOFC?
John Koraleski: I think you're there now in terms of the TOFC. And it's not only fuel, it's the other pressures on the truck side that helped drive this. So we're going to start moving down that road. We still have lot of opportunity on the container side, though, too, when you look at it. In all I'm being very intelligent about the returns and the service and the products you put in place because -- I'll tell you one thing on the Intermodal, particularly on the trailers. You put a product in, you better deliver. There are no exceptions. It's a very time-sensitive market, but you're going to see more out of us on the trailer side in the future.
Donald Broughton - Avondale Partners, LLC: Fantastic. Thank you, gentlemen.
Operator: Our next question comes from Peter Nesvold with Jefferies & Company.
H. Nesvold - Jefferies & Company, Inc.: If I could flip to Slide 22 for just one quick minute. If the fuel surcharge revenue, the higher year-over-year 3.5% on a base of $3.8 billion roughly of revenue, when I just run that math, it suggests that the fuel surcharge revenue is up about $130 million, $135 million year-over-year, fuel costs were up about $243 million year-over-year. You mentioned earlier you get about a 90% compliance rate on the surcharge. It seems to suggest that fuel is more like a $0.12 hit to numbers rather than the $0.08 hit that you've cited. And I guess I'm just trying to understand better what I'm missing.
James Young: I think you've stumped us.
H. Nesvold - Jefferies & Company, Inc.: Is there anything like from higher terminals, the well times or from weather or anything else that happened in the quarter that might have disproportionately impacted the fuel consumption this quarter?
James Young: Well, consumption rate was, what, flat year-over-year.
Robert Knight: Yes, the rate was flat as a result of weather and other situations. You have stumped me in terms of the math you just ran through, but all I can say is that the lag is the driver of that delta between the recovery we had in the quarter and the fuel expense.
H. Nesvold - Jefferies & Company, Inc.: Okay. Thanks for the time.
Operator: There are no further questions at this time. I would like to turn the floor back over to Mr. Jim Young for closing comments.
James Young: Well, again, thanks, everyone, for joining us this afternoon. And as I said earlier, we will be back on our normal schedule next quarter, Thursday morning, before the market opens. So thanks for your patience this time, and I look forward to talking with you then.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.